Operator: Good day, everyone, and thank you all for joining this AAON, Inc. Q4 2025 Earnings Release Conference Call. As a reminder, all phone lines are in a listen-only mode to prevent background noise, but later, you will have the opportunity to ask questions during the question and answer session provided after our prepared remarks. To signal for a question, simply press star and 1 on your telephone keypad, and your line will be placed into a queue. Once again, it is star and 1, ladies and gentlemen. Also a reminder, today's session is being recorded. It is now my pleasure for opening remarks and introductions to turn the floor to Director of Investor Relations, Mr. Joseph Mondillo. Welcome, sir.
Joseph Mondillo: Thank you, operator, and good morning, everyone. The press release announcing our fourth quarter and full year 2025 financial results was issued earlier this morning and can be found on our corporate website, aaon.com. The call today is accompanied by a presentation that you can also find on our website as well as on the listen-only webcast. I will begin with our customary forward-looking statement policy. During the call, any statement presented dealing with information that is not historical is considered forward-looking and made pursuant to the safe harbor provisions of the Securities Litigation Reform Act of 1995, the Securities Act of 1933, and the Securities and Exchange Act of 1934, each as amended. As such, it is subject to the occurrence of many events outside of AAON, Inc.’s control that could cause AAON, Inc.’s results to differ materially from those anticipated. You are all aware of the inherent difficulties, risks, and uncertainties in making predictive statements. Our press release and Form 10-Ks that we filed this morning detail some of the important risk factors that may cause our actual results to differ from those in our predictions. Please note that we do not have a duty to update our forward-looking statements. Our press release and portions of today's call use non-GAAP financial measures as defined in Regulation G. You can find the related reconciliations to GAAP measures in our press release and presentation. Joining me on today's call is Matthew J. Tobolski, President and CEO, and Rebecca A. Thompson, CFO and Treasurer. Matthew will start off with some opening remarks. Rebecca will follow with a walkthrough of the quarterly results, and Matthew will then finish up with outlook for 2026 and some closing remarks. With that, I will turn the call over to Matthew.
Matthew J. Tobolski: Thanks, Joe, and good morning. 2025 was a year marked by several notable achievements, delivered alongside transformational investments that are building a more resilient and scalable business. Importantly, we have made these investments with clear priorities and disciplined execution, strengthening our foundation and sustaining strong commercial momentum. Robust bookings and revenue momentum underscore demand for our products and custom solutions as customers seek greater operational efficiency, supporting continued market share gains. As we enter 2026, we have clear visibility into growth drivers and a well-defined plan that positions us for improved operating performance and margin expansion as temporary headwinds fade. The data center market continues to represent our most robust and dynamic growth opportunity. In 2025, Basics branded sales increased 143% to $548 million while backlog grew 141% to $1.3 billion. Strong demand resulted in a book-to-bill of 2.4 for the Basics brand on the year. Our differentiated custom air and liquid cooling solutions continue to gain momentum as customers increasingly require highly engineered systems tailored to their specific performance and scalability needs. This dynamic aligns directly with Basics' core strengths—custom engineering, thermal management innovation, and speed—and it positions us well to grow with this increasingly demanding AI data center market. Our focus is now squarely on converting this demand into sustained profitable growth through disciplined program execution and capacity readiness. AAON branded sales and bookings remained resilient in 2025, particularly in light of a 16% decline in overall industry volumes. Despite the refrigerant transition and the ERP rollout at our Longview facility, AAON branded sales declined just 8%, significantly outperforming the broader industry. Bookings saw even stronger performance, growing approximately 12%, driven primarily by national accounts, which increased 86%. This sales growth represents deliberate market share gains as customers increasingly recognize the total cost of ownership advantages our products deliver across their building portfolios. In other words, while we work through near-term friction, we continued to take share in the places that matter most and where our differentiation is strongest. Building on the operational foundation established in prior years, we advanced several initiatives designed to drive margins to optimal levels and support durable long-term growth. These included strategic investments in people and leadership, manufacturing capacity, supply chain management, product development, and IT systems and infrastructure. Over the past eighteen months, we have expanded our manufacturing footprint by more than 25% and meaningfully strengthened our leadership depth. Our investments in supply chain management will improve supply reliability, help reduce material costs, and improve working capital discipline going forward. These actions are practical, execution-focused, and designed to improve throughput, reduce variability, and enhance margin performance over time. Our focus on innovation drove meaningful advances in product development, most notably in support of AI data centers where we introduced unique concepts designed to enhance scale, operating efficiency, and strategic flexibility. In 2025, we also became the first manufacturer in the commercial HVAC industry to commercialize rooftop units up to 40 tons with cold climate heat pumps that are capable of delivering reliable heating performance at ambient temperatures down to negative 20 degrees Fahrenheit. We also made significant progress in upgrading our legacy ERP, which is critical to supporting long-term scalability. As expected in a transformation of this scale, when issues were encountered, we addressed them directly and implemented a revised rollout approach that prioritizes stability, customer deliveries, and execution certainty. We are sequencing remaining ERP implementations under a disciplined governance framework with Redmond scheduled for 2026 and Tulsa expected in 2027. This approach reflects control and intentionality, allowing us to protect service levels while preserving the long-term benefits of the system. Alongside these accomplishments, 2025 included several temporary challenges, most notably the industry's refrigerant transition early in the year, and incremental complexity from our ERP upgrade. While these factors pressured margins in the near term, they are well understood, largely contained, and do not change our confidence in meaningful margin improvement as execution continues to strengthen. Before turning it over to Rebecca, I want to share my perspective on how we ended the year. Bookings and backlog remained strong in the fourth quarter. Basics branded bookings again reached record levels, driving backlog to $1.3 billion, up 45% sequentially and 141% year over year. AAON branded bookings were also strong, and increased 20% year over year with backlog up 24% sequentially and 61% from the prior-year period. That demand strength, paired with actions to improve execution, set the stage for a strong 2026. Operationally, production drove record sales. Basics branded sales more than doubled year over year, supported by the continued ramp at Memphis and strong throughput of liquid cooling solutions in Longview. AAON branded sales increased 9.5%, supported by a 42% increase in Alpha Class heat pump sales, and represent the strongest quarterly growth since 2024. Across our facilities, fourth quarter margins reflected differing operational dynamics. Margin momentum in Tulsa moderated sequentially due to normal seasonality and temporary supply chain constraints that reduced production volumes. Redmond delivered stable margins, balancing productivity gains with targeted investments to support strong Basics growth in Longview and Memphis. Memphis, though still a near-term margin headwind, remained on plan and achieved profitability for the first time in a quarter. Together, Tulsa revenue and Memphis comprise the AAON Oklahoma and Basics segments with Memphis results reflected in both. On a combined basis, fourth quarter sales grew 31% and incremental margins were a solid 25%. While incremental margins remain below our long-term target, they are improving and they reflect temporary pressures expected with ramping a new facility. With production volumes in Tulsa increasing materially in January and February, and Memphis continuing to ramp, we expect strong growth and accelerated incremental margin going forward. At Longview, which represents the Coil Products segment, Basics production and profitability remained exceptionally strong, while AAON branded throughput and productivity improved sequentially. Margins reflected this progress, partially offset by the impacts of a five-day closure to support a wall-to-wall inventory at year-end. In summary, the softer than expected fourth quarter margin was primarily driven by lower production at Tulsa. With a strong backlog and production already approaching record levels, Tulsa is positioned to become a meaningful tailwind in 2026. Supported by robust Basics backlog and accelerating momentum in Longview and Memphis, we are positioned for 2026 to be a strong year for growth and margin expansion. We have a clear view of the drivers, our teams are executing, and we are confident in that trajectory. I will now turn the call over to Rebecca, who will walk through the quarterly financials in more detail.
Rebecca A. Thompson: Net sales in the fourth quarter increased 42.5% year over year to $424.2 million. The increase was driven primarily by 138.8% growth in Basics branded sales, reflecting continued strong demand for data center cooling solutions and higher utilization of our Memphis facility. AAON branded sales were also additive to the year-over-year growth in the fourth quarter, increasing 9.5%, driven by higher production levels at our Tulsa facility and a favorable comparison to the prior-year period, which had been negatively impacted by the industry's refrigerant transition. Gross margin was 25.9% in the fourth quarter, down from 26.1% in the prior-year period. The modest year-over-year contraction was primarily driven by unabsorbed fixed costs with our new Memphis facility. Looking ahead, utilization and productivity at the Memphis facility continue to increase, and we are positioned for these capacity gains to provide meaningful operating leverage in 2026. As a result of these unabsorbed costs, fourth quarter non-GAAP adjusted EBITDA margin was 15.2%, down from 15.8% a year ago, and the fourth quarter diluted EPS was $0.39, up 30% from 2024. Looking at the segment financials, beginning with AAON Oklahoma, net sales increased 11.1% year over year to $215.5 million. This double-digit growth was driven by a strong starting backlog and improved production throughput, which supported higher backlog conversion despite a challenging industry backdrop. The fourth quarter benefited from a favorable comparison to the prior-year period, which had been disrupted by the industry's refrigerant transition. AAON Oklahoma gross margin was 27.5%, down from 30.7% in the prior-year period, as a result of incremental overhead expenses of $6.4 million associated with the new Memphis facility. AAON Coil Products sales increased $49.6 million, or 93.6%, from the year-ago period, driven by $75.3 million in Basics-branded liquid cooling product sales, which grew 100% during the quarter. AAON branded sales of this segment declined year over year 1.8%, but increased 15.2% sequentially as production momentum improved. AAON Coil Products gross margin was 21.3% in the fourth quarter, up from 16.1% in the prior-year period and 11% from the prior quarter. The year-over-year margin expansion reflected improved operating leverage on higher throughput at the Longview facility along with a favorable mix of high-margin Basics branded sales. This was partially offset by a full five-day plant shutdown at Longview at year-end to conduct a wall-to-wall inventory count. In the near term, Basics will continue to be a positive tailwind in dollars, but we do not expect product mix will be as favorable as we saw in Q4. Sales at the Basics segment grew 109.1% in the fourth quarter to $106.1 million. The strong growth was driven by sustained demand for data center solutions, as the market continues to demonstrate strong momentum and the business captures additional market share, as evidenced by our strong order intake and increasing backlog. Increased utilization of our Memphis facility was also a significant contributing factor, providing additional production capacity that was additive to the segment results. Basics segment gross margin was 27.1%, up from 18.8% in the prior-year period. The strong year-over-year increase was largely a result of a favorable comparison to the prior-year period along with accelerated production from our new Memphis facility. Turning now to the balance sheet. Cash, cash equivalents, and restricted cash balances totaled $1.2 million on December 31, 2025, and debt at the end of the quarter was $398.3 million. Our leverage ratio was 1.77. In 2025, cash flow from operations was a source of cash of $0.5 million, compared to $192.5 million in 2024. Capital expenditures in 2025, including expenditures related to software development, decreased 3.9% to $204.9 million. Overall, we made substantial capacity and working capital investments to support our expanding backlog and ongoing market share gains. As returns on these investments begin to materialize, we are positioned for operating cash flow to improve significantly in 2026, driven by higher earnings and improved working capital efficiency. That flexibility supports our continued growth investments, including planned 2026 CapEx of $190 million. I will now turn the call back over to Matthew.
Matthew J. Tobolski: Thank you, Rebecca. Looking ahead, we enter 2026 with strong visibility across both brands and confidence in our ability to execute. That visibility allows us to remain focused on production, prioritize throughput, improve delivery performance, and convert demand more efficiently as we move throughout the year. The Basics brand remains the company's key growth driver, fueled by exceptional demand from the data center market and our differentiated custom design solutions. During the quarter, Basics secured a strong volume of new orders at attractive margins, with the majority scheduled for production at our Memphis facility as it continues to scale. This demand profile and production mix position us to increase output efficiently, optimize the fixed cost investments made in 2025, and drive robust growth in 2026. As utilization improves, we are positioned for the economic benefits of that scale to increasingly flow through to margins. The AAON brand also maintains strong momentum. Backlog at the end of the fourth quarter was up 61% year over year, reflecting strong demand across the business. While backlog levels and lead times remain extended, we are actively managing this through production ramp up and improved execution across the network. Despite a soft commercial HVAC market, bookings have remained strong, underscoring the resilience of our business. Importantly, we are seeing improving operational cadence as we work through backlog and position AAON for stronger performance in 2026. 2025 was a year of meaningful structural change and strategic investment, building on AAON's strong foundation and positioning the company for sustained long performance. As we move into 2026, our focus shifts squarely to execution, leveraging that foundation, improving throughput, accelerating backlog conversion, and continuing progress towards our margin objectives. For the year, we anticipate sales growth of 18% to 20%, a gross margin of 29% to 31%, with margin progression expected to be uneven by quarter as capacity ramps and product mix normalizes. SG&A as a percent of sales is expected to be about 16%, and depreciation and amortization expenses are expected to be in the $95 million to $100 million range. These expectations reflect our confidence in demand, improving execution, and the operating leverage embedded in our cost structure. In closing, I want to thank our employees, customers, sales channel partners, and shareholders for their continued support. We enter 2026 with clear priorities, improving momentum, and confidence in our ability to execute and deliver stronger results. With that, we will now open for questions.
Operator: And a reminder to our audience that it is star and 1 to ask a question. I will open them one at a time, and you will be invited to pose your questions. First question today will come from the line of Ryan Merkel at William Blair.
Ryan James Merkel: Hey, everyone. Good morning, and thanks. Matthew, can we just start on the gross margin in the quarter? A miss versus your expectation. It sounds like Tulsa was the reason, but just clarify that for us. And then you made some comments about recovery in Q1, and I am curious in Q1 2026 if gross margins can get back into the range you gave for guidance for the year, kind of in that 30% range?
Matthew J. Tobolski: Yes. And good morning, Ryan. Thanks for the questions. So first, touching on the fourth quarter margin. When we look at the driver, the single biggest driver of that margin, kind of against expectation, was around Tulsa volumes. And so our volumes in Tulsa had normal seasonality, which certainly we expected, but we had some additional supply chain constraints that put some pressures on the overall throughput and velocity in the quarter. I want to touch on the supply chain piece because I mentioned in the call, and I have certainly talked about this in the past, there has been a lot of investment that we are making to really strengthen the capacity and our supply chain organization. And a lot of that is to improve reliability. There are going to be economic benefits, certainly, from better purchasing strategies with our supply base. But most importantly, we anticipate strengthening reliability of deliveries to be one of the biggest drivers of our progress in supply chain. And so that is going to really help alleviate some of these, I will say, speed bumps that we have had going forward. And so as we look forward, I mentioned on the call that when I think about the Tulsa volumes in January and February, we have accelerated substantially out of Q4 within our Tulsa segment. And when we think about what that is going to mean, it is going to mean a substantial benefit from overall velocities that are going to be able to provide us some of that margin uplift that we are expecting. That will be a little bit offset in the first quarter from product mix that we would expect to see out of our Longview site. Longview had a very large contribution of Basics revenue, but as we continue ramping the AAON branded revenue in Longview, you will see some pressures in Longview. And so net of that, there is a little bit of offset from Longview, but Tulsa will certainly be driving improvement into the first quarter out of the fourth quarter.
Ryan James Merkel: Got it. Okay. So just the bottom line there, the supply chain issues we have kind of been talking about, it sounds like you have got some plans there to stabilize that and we should not see that being an issue going forward. Is that right?
Matthew J. Tobolski: Yes. We are getting a lot better visibility into supply chain performance. And so we, going forward, anticipate a lot of the noise that we saw in 2025 around supply reliability to abate. And so what I would say is while there were challenges in Q4 from a supply base perspective, they were substantially lower than they were earlier in the year. And so we are seeing the incremental progress in supply chain stability, and a lot of that is reflecting the efforts and investments we are making in our supply chain organization.
Ryan James Merkel: And then just on the guide for revenue for 2026, just looking for a few more details. Obviously, Basics, the orders and the backlog is really strong. I am curious, are you going to be in that kind of 40% to 50% Basics revenue growth in 2026 that you have talked about? Or could it be a bit better? And then comment on the light commercial market. Are you assuming sort of a flat market there? And then I think you had some price increases that came in Q4, so I am curious how much price you have in the guide for 2026?
Matthew J. Tobolski: Yes. So from a growth driver perspective, the growth in the Basics side is not really up to that 50% range. It is definitely about half of that that is sort of built into the guide. A lot of the growth is going to be coming out of the AAON brand, and in particular, coming out of the Tulsa organization. So as we enter the year, our AAON Oklahoma segment has backlogs that are extended beyond where we want them to be. That is certainly partly driven by some of the supply challenges that we have had, but really, coming out of the, I will say, improving supply stability, coupled with the improving velocity in the plants, you are going to see the AAON side of the business provide meaningful growth inside that segment in Tulsa. We are already seeing that as we are kind of two-thirds of the way through the first quarter, with AAON Oklahoma running near record volumes as we sit today. So certainly seeing the drivers being great growth out of the Basics segment, but also really strong recovery in the AAON segment that is going to be a huge driver of growth in 2026. And your question on pricing, so if you kind of recall last year, we had really two pricing actions. We had a price increase at the beginning of the year, and then really, I will say, a surcharge that really was in response to tariffs, but also the sort of secondary effects of price-cost dynamics around the tariff backdrop. And so, when we look at what was done towards the end of the year, there is really not any big pricing that were taken at the back half of the year on the AAON side of the business. So really, that growth that you are looking at, that is really growth in volume that we are talking about going forward in 2026. I am sorry. The other one piece too, I meant to touch on, is you asked the question on the commercial HVAC market and the backdrop in that sense. And to your point, the indicators and kind of how we see the market at a high level perspective is flattish in 2026. We do not see a huge recovery in the market as a whole. But really, I would say the intentional efforts that we have with our Alpha Class air-source heat pump, coupled with the national account strategy, that is what is driving outperformance in our bookings and what we see as being the big driver of outperformance going into 2026. Thank you very much.
Operator: Our next question will come from the line of Noah Kaye at Oppenheimer.
Noah Kaye: Thanks for taking the questions. Can I just follow up on that last one? Matthew, I think you said, if I heard correctly, the guided midpoint maybe even assumes 25% or so revenue growth for Basics. And I am just trying to put that with where the backlog ended. So, am I understanding that you only expect to ship about half of your backlog in 2026? Is that math right? And if so, why would that be the case?
Matthew J. Tobolski: Yes. It is a great question. And really, I would just start off by talking about the buying dynamics in the data center market. And the data center segment space does not trade in the sort of lead time mindset that the commercial HVAC market does. And so the dynamics that we see embedded in our backlog is a combination of projects built upon a lot of longer duration, multi-phase projects and programs. Demand is strong and robust, and so given that dynamic, while the backlog is certainly there, there definitely is an extended period that is built into that backlog. And it is allowing us to ramp with a lot of clarity, not just in 2026, but going into 2027 as well. And when we think about that backlog, there is potential for a little bit of movement in there, not as much driven by our production throughput, but really driven by just some of the constraints. We see a little bit of movement in the market, the data center market as a whole, on project deliveries just as the entire kind of supply network feels the pressure of the overall demand. So you might see a little bit of that backlog move in or move out, but fundamentally, it is really driven by these longer duration programs.
Noah Kaye: Can we talk about cash generation? I mean, if I am doing my math right, you built something like $225 million of working capital in 2025. Can you put some finer points around your operating cash flow generation expectations for 2026, kind of how you see the cadence of that? Are you starting to collect more on accounts receivable? And how quickly do you see debt reduction? I am just trying to figure out how to model your interest expense.
Rebecca A. Thompson: Yes, certainly. No problem. First, I do want to point out, if you look at the cash flows on a quarterly basis, we did see improvement in our cash flows from operations to be positive Q3 and Q4 with sequential improvement. I would expect this positive trend to continue into 2026. So you can see, at the end of the year, you will notice our accounts receivable is up at the end of the year, highlighting our conversion of our contract assets and contract liabilities. To this point, I will also point out the contract liability that you see at end of the year is part of our efforts to negotiate down payments on some of these upcoming jobs so that we can better manage our working capital and liquidity. So we do anticipate cash flows to improve through our increased earnings, through a lot of these supply chain improvements that Matthew has talked about in our buying practices, and then also through increased billings and conversion of our contract assets. When you think about debt, it will remain elevated for most of the year. We expect it to come down a little, maybe towards the back half of the year. But interest will be higher just given the starting point at the beginning of the year with a higher debt balance, and we expect that to remain elevated for most of the year.
Noah Kaye: Alright. I will take the rest offline. Thank you.
Operator: Our next question this morning comes from Brent Thielman at D.A. Davidson.
Brent Edward Thielman: Hey, thanks. Good morning, Matthew, Rebecca, Joe. Matthew, just in terms of the composition of the Basics backlog and, I guess, specifically orders this quarter, is it over-indexed to one or two big orders? Is it predominantly hyperscalers, or are you getting some more traction outside of that customer segment? Just some more color around that.
Matthew J. Tobolski: Yes. Brent, when we think about the backlog composition, obviously we do not dive into the exact customers that are in that backlog. But at a high level, there certainly is diversity in that customer base and kind of customers inside that backlog. The one thing I always point out is while it is great, bookings that we see in the quarter, certainly given the scale of data center orders, there is a little bit of skew given some of the orders. So one order certainly can represent, say, a concentration in a customer in that given quarter. But what we are seeing kind of on a collective basis is introduction of new customers and introduction of diversity in customer base with hyperscalers, some of these sort of build-to-suit colocation providers, and colocation providers. So we continue seeing the efforts that we are focusing on to diversify our customer base pay off in the overall bookings cadence.
Brent Edward Thielman: And then, I guess, on the AAON branded side, Matthew, how do we think about sort of order intake going forward in that? I am sure you are ramping up production in Tulsa, but you have had some challenges here. Are you taking a step back from new orders, or do you feel comfortable that production levels are where you want them to be and you are going to continue to ramp up new order intake here going forward on that side of the business.
Matthew J. Tobolski: Yes. So on the AAON side, one thing I want to point out is certainly 2025 on the AAON side of the business does not represent the performance expectation that we hold for ourselves. And so we certainly did not deliver the throughput and the reliability that our customers expect and deserve of us. And so when we think about going into 2026, we are dedicated and focused on driving operational improvements and really increasing the execution certainty for our customer base. So that is going to result in sequential ramping up production throughout the year. We are going to be driving productivity growth, especially in the Oklahoma and the Longview segments, really to ensure that we get back to the lead times our customers want and need as well as ensuring that the delivery reliability is what they expect and deserve. And so you will see strong growth in the overall sales from an AAON side throughout the calendar year as we continue driving and executing on that strategy. But I do want to point out that even with the challenges that we faced in 2025, we made huge investments in ensuring the support was there for our customer base. And so we have invested heavily in customer care and customer service departments to really bolster the customer experience even in the midst of some turbulent times on the AAON side of the business. Data is going to continue being things we invest in going forward to ensure the customer experience is meeting the mark for where we hold ourselves from an overall business perspective. And so when we look at this kind of in aggregate, we had a challenging year. We are driving velocities as we enter 2026 and throughout 2026 to really push more volume to our plants. But even in that challenging backdrop, you saw the bookings growth remain strong and actually increase even in the midst of that, which really highlights the value proposition and the focus that we have on doing what is right for our customers even in the midst of those challenging times. And so we anticipate, even in that flattish commercial HVAC backdrop, we anticipate seeing our bookings growth continue to strengthen throughout 2026 supported additionally by a really good ramp up in our execution and productivity at our plants.
Operator: Our next question this morning, and caller, I do apologize, I mispronounced your name. We will hear from Timothy Wojs at Baird.
Timothy Ronald Wojs: Pretty close. Good morning, everybody. Maybe just to start on the Oklahoma business, Matthew, where are your lead times at today? And how did those track into the back half of the year, and when would you expect your lead times in the Oklahoma business to kind of fully get back to normal?
Matthew J. Tobolski: Yes. So certainly, lead times are beyond where we want them to be. And it is hard to put an exact quantification on it because it does vary based on production lines and kind of product type within our plant. But they are definitely out substantially longer than where we want them to be. For some of our more high-volume lines, they might be in the mid-20 weeks timeframe, which is definitely beyond where we want them to be. And so our goal throughout the year is to really drive throughput and really bring those lead times down. Now, it is an interesting balance because as we look at how we rounded out the back half of the year, we have certainly shown and delivered higher productivity than we had at the beginning of the year in the Oklahoma segment. We have been pushing more and more volumes through our plant. And as we think about that in basically the first couple of months in Q1 of this year, we are running at or near record levels of volume throughput within our site in Oklahoma. Yet in that backdrop, we see our backlog continuing to creep up, which is telling us that even in the midst of a challenging environment, we are continuing to see strength in our overall product offering, which is resulting in bookings exceeding some of our production volumes. And so it is a little bit of a hard thing to pin down because if we had a static input in our bookings, it would be very easy to give you a mathematical description of where we get back to normalized lead times. But as we drive our volumes up, we are continuing to see our bookings strengthen, which is kind of creating a difficult dynamic to really drive them down as fast as we want them to be driven down. But it is certainly a huge focus for us to responsibly grow the volumes within the Oklahoma segment and, in doing so, drive the lead times back to more target levels within our operation. But it is going to be a balancing act of how much production volume we push coupled with what the order cadence looks like.
Timothy Ronald Wojs: Okay. That is helpful. And then I guess on the Basics business, I mean, you are exiting the year at $1 billion in backlog. I think your current footprint, once it gets fully ramped, I think you have outlined $1.5 billion as the potential revenue. I guess, what is the expectation on your part in terms of what you need to do with capacity? And then does that kind of backlog versus ultimate revenue kind of throughput in your current capacity limit your ability to kind of take orders in the Basics business in the near term?
Matthew J. Tobolski: That is a great question. And really, I want to start off by maybe framing the way we look at capacity and really the use of capital. We certainly made a huge investment in the last eighteen months between the Longview expansion and the Memphis facility, and that provides huge meaningful upside in the overall production volume that we have in our fleet. One of the things beyond just supply chain that we invested in in 2025 was really a strong focus in manufacturing and operations excellence within the organization, and bringing in some really great talent to help take this organization to the next level and operate as a true multi-site manufacturer. And I bring that up because as we sit here as an executive team, a leadership team, and we stare at this investment that we have made, the challenge that we have in front of the team is to drive as much volume to these existing investments as possible before we have to have another substantial uptick in the overall capital investment. And so while we look at that $1.5 billion sort of footprint capacity that we have talked about in the past, the challenge to the team, and really what they are looking to do, is actually unlock more capacity inside the existing investment to unlock more than just $1.5 billion of capacity and really drive better returns for our investors in doing so. And so part of what we are doing at the end of last year into this year is truly mapping where the opportunity exists inside that footprint to better quantify how much volume we can truly put through that investment because we do believe there is more capacity than $1.5 billion there. And that really is a lot of what we are focused on here in the first part of the year, quantifying that and creating a very executable strategy to drive that forward. So in the near term, we certainly do not see the capacity being a limit to our ability to take new orders. I would say that, fundamentally, the gating mechanism is not the square footage. It is really just the ramp rate. And I say that because ramping responsibly and doing so in a way to drive margins is critically important to our execution strategy. And so we do want to moderate how fast we push on the gas pedal to make sure we do it in a profitable, responsible, and high-quality manner. So near term, I do not see that as being really a limit, the footprint being a limit. I see the ramp rate being the limiting factor. But in the long term, we are certainly looking to figure out how much more we can drive in revenue in our existing investment beyond that $1.5 billion we talked about in the past.
Brent Edward Thielman: That is helpful. And then just the last one. I do not know if you said it or not, but did you give the Memphis revenue contribution in the fourth quarter in the Basics segment?
Matthew J. Tobolski: Rebecca, I do not know if we have that broken out or not. Just double check that.
Rebecca A. Thompson: Not.
Matthew J. Tobolski: Just at a high level, I would say, just high level, I think it is around $25 million to $30 million in contribution in the fourth quarter.
Brent Edward Thielman: Okay. That is great. Thanks, guys. Good luck on this year.
Operator: We will hear next from Julio Romero at Sidoti & Company.
Julio Romero: Thanks. Hey, good morning, everyone. I wanted to ask about, at the midpoint, your 2026 sales growth guidance already implies sales dollars above what was implied by the three-year Investor Day targets that you had for 2027. Just how would you help us think about the other Investor Day targets—the gross margins and the SG&A, 32%–35%, 13%–14%? Are those still on track? Do you see that as more of a run rate for 2027 and entering 2028? Help us think about that there.
Matthew J. Tobolski: Yes. Good morning, Julio. And certainly, if you look at the revenue numbers that we have, it certainly indicates that we are pushing harder than we kind of implied during Investor Day, which really, I would say, a lot of that comes from visibility and clarity of our ramp rates and allowing us to execute that plan with a good level of visibility and clarity going forward. So certainly, the top line number, we have had a lot of clarity on how we can drive that forward. Margins, obviously, you are going to see a sequential margin improvement in 2026. As we think about 2027 from a margin perspective, those targets are still what we are driving towards. The one thing I would say is as we are pushing the revenue harder, there is certainly some level of pressure that exists in margin. And particularly, I am going to use Memphis as an example in this piece, which is when we are pushing growth fundamentally at those growth rates, we have got to be investing ahead of the overall throughput to allow us to effectively actually drive that throughput. And so there is some pressure that, I would say, pins us towards the bottom end of that when we view 2027. But certainly, there is upside as we continue driving velocity through Tulsa to sort of offset some of that. So the margin profile certainly is something we are still driving towards in 2027 and really exiting 2027. But the SG&A side, that one is a little bit, I would say, certainly a target we are driving towards. But there is some more pressure on the SG&A side as we really ramp up the facilities and get some of these investments in people and process and technology in place. And so there is a little more pressure on the SG&A side. We have not really quantified that at this point, but I would say we see our sequential decline year over year to 16% in our target for 2026. We anticipate continued leverage as we go forward, just do not have a quantified number on that quite yet.
Julio Romero: Super helpful, and it makes a ton of sense. And on that topic, Matthew, of investing ahead of throughput and ramping responsibly, can you just touch a little bit on the IT systems and infrastructure upgrades that you talked about in the deck? Not less from a quantification perspective and more just trying to understand what you are doing on that front.
Matthew J. Tobolski: Yes. And in particular, the reference there is a lot around the technology investments around the ERP upgrades, and I want to really just frame this in a perspective on how we are focusing in 2026. So when we talk about shifting out the go-lives in Redmond and Tulsa, it is not because of a lack of performance of the system. It is not because of a misconfiguration. It is solely driven by operational discipline and our hyper focus on ensuring we can drive volumes to get our lead times down. And so really, in that environment, with such strong backlog, such strong demand for the product, the focus on pushing out the ERP is to allow our operations team to drive the volume increase, to drive throughput, and really execute to be able to get those lead times down. And the focus is not around adding an additional kind of complexity in there with the ERP go-live. It is to really allow us to focus, hyper focus, on that execution to allow those lead times to get back where we want them to be throughout 2026. So that really is the focus and the commentary on the overall go-live. I would touch on, while we had pressures when we went live in the Longview site, we have not had the same level of challenges within the Memphis site. And so sequential go-lives are improving, and really we are getting more and more run time with the technology systems, and we are seeing the benefits of it. It is really just a focus on making sure we drive volumes to our plants.
Julio Romero: Great. Thanks for the color.
Operator: And we will move next to the line of Chris Moore at CJS Securities.
Christopher Paul Moore: Hey, good morning, guys. Thanks. I had a couple. So on the revenue growth for this year, 18% to 20%, just in terms of the quarterly revenue trajectory—maybe I missed it—but do you expect it to increase on a quarterly basis, or just any thoughts there?
Matthew J. Tobolski: Yes. I mean, I would just say the year will start off softer as far as absolute dollars as well as year-over-year growth itself, and you should anticipate improvement as we move through the year, both on a year-over-year growth perspective but also on an absolute dollar perspective. So we definitely expect that things will strengthen as we move throughout the year.
Christopher Paul Moore: Perfect. Appreciate that. And in terms of, you broke down about 37.8%, you said, was liquid cooling equipment. Do you expect that percentage to change much in 2026, 2027? I am just trying to get a sense. Does that impact margins much moving forward?
Matthew J. Tobolski: Yes. What I would say is, that 37.8% liquid cooling, obviously that is revenue being driven through the Longview plant, primarily for the Basics brand. As we layer on the Memphis site, Memphis certainly has a broader portfolio of products being manufactured there, including some of our high-performance pre-cooling chiller products. And so I bring that up to say that as a percentage, that may moderate a little bit, but I would say total volume, total dollars, certainly we do not see that going down at all. We see that being a driver of growth. And so we are introducing more volumes of broader products to the overall Basics platform that you would fundamentally think, as a percentage, might drive that down a little bit.
Christopher Paul Moore: Got it. And just from a competitive standpoint, that 37.8% liquid cooling— I am just trying to get a sense of the competitive environment today versus a couple of years ago. Is that a bigger percentage than you are seeing from most competitors? Just trying to understand how the dynamics are evolving.
Matthew J. Tobolski: Yes. I mean, that is, I will say, a bit of a loaded question in the sense that we broadly, as an industry, talk about liquid cooling products. And when I look at the competitive landscape, one of the things I will always harp on is the AAON and Basics brands. They are not targeted at being V2 manufacturers. We are not chasing what a lot of other people are doing. We are focused on differentiation, and a lot of that differentiation is coming through the sort of consultative approach in how we approach the market and really that engineering and technical backbone that we have. And so the liquid cooling orders that we have, they are focused on high-performance liquid cooling opportunities, driven by scalability and platform development with our customers. They are not as much about chasing kind of, I will say, lower-capacity, high-volume, lower-margin type orders. And so you might see others with higher percentages or others with liquid cooling that might be at the same level of scale within their overall portfolio. I would just point out, we are fundamentally looking at the space a little bit differently and really focused on unique and kind of more high-value liquid cooling opportunities versus kind of high-volume liquid cooling opportunities. And that is a bit of what you see different in the mix with us and some of our competitors.
Christopher Paul Moore: Got it. I appreciate that. I will leave it there, Matthew. Thank you.
Matthew J. Tobolski: Thanks, Chris.
Operator: And ladies and gentlemen, that was our final signal from our audience, and we thank each of our callers who signaled for a question today. Mr. Mondillo, I am happy to turn it back to you, sir, for any additional or closing remarks that you have.
Joseph Mondillo: Yes. Thank you, Jim. I would just like to thank everyone for joining us on today's call, and if anyone has any questions over the coming days and weeks, please feel free to reach out to myself. Have a great rest of the day, and we look forward to speaking to you in the future. Thank you.
Operator: Ladies and gentlemen, this does conclude the AAON, Inc. Q4 2025 earnings release. We thank you all for your participation, and you may now disconnect your lines.